Operator: Good day, ladies and gentlemen, and welcome to the Brinker International Q4 F ‘22 Earnings Conference. At this time, all participants have been placed on a listen-only mode, and the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Mika Ware, VP of Finance and Investor Relations at Brinker. Ma’am, the floor is yours.
Mika Ware: Thank you, Paul, and good morning everyone. And thank you for participating on today’s call. With me are Kevin Hochman, our Chief Executive Officer and President; and Joe Taylor, our Chief Financial Officer. Results for the quarter were released earlier this morning and are available on our website at brinker.com. As is our practice Kevin and Joe will first make prepared comments related to our operating performance and strategic initiatives. Then we will open the call for your questions. Before beginning our comments, I’d like to remidn everyone of our safe harbor regarding forward-looking statements. During our call, management may discuss certain items, which are not based entirely on historical facts. Any such items should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Such risks and uncertainties include factors more completely described in this morning’s press release and the company’s filings with the SEC. And of course, on the call, we may refer to certain non-GAAP financial measures that management uses in its review of the business and believes will provide insight into the company’s ongoing operations. And with that said, I will turn the call over to Kevin.
Kevin Hochman: Thanks, Mika, and good morning, everyone. With this being our first call since Wyman's retirement, I wanted to take a moment to recognize him as the leader of our great company for the past nine years and to thank him for our many strategic accomplishments. In addition to being a coach and a friend to so many Brinker heads, Wyman led growth of our brand significant technology improvements and develop an industry leading off premise business. I know he's listening and cheering us on, so on behalf of our 62,000 team members, thank you Wyman for entrusting your legacy to us and preparing us for the future. This organization has a solid foundation well-known brands that have stood the test of time and ownership model that allows us to move quickly, a strong leadership team and the most dedicated operators in the industry. During my first two months on the job, I've spent a lot of time in the field with our restaurant teams and our above restaurant leaders to better understand their challenges and to exchange ideas on how we can accelerate the business together. I'm happy to share they are hungry for growth and they have great ideas on how we can make running restaurants easier, more profitable and a better experience for both our team members and for our guests. And while informing our longer term growth strategy with our senior executive team in order to deliver better results over time, we must deliver meaningful improvements to the four-wall economics of owning a Chili’s and owning a Maggiano's. So we're working quickly to identify the things we can do to grow the business sustainably, improve the guest experience, reduce cost and complexity and implement more strategic pricing which will in turn expand restaurant margins and grow profits. Our evolved pricing strategy will include providing focused everyday value for guests, who needed, but we'll move away from frequent and deep discounting. We will also right size the mix of everyday menu items offered on deal, but we'll make sure there's something available for the cash strapped customer, who needs a superior value to enjoy casual dining. We will also do a better job of recovering expenses for inflated commodities, as well as the added cost for delivering Chili's, Maggiano's and our virtual brands. I have chartered two teams as senior executives to make quick interventions that will build momentum in our business. One team is dedicated to near-term ideas to drive sustainable and profitable sales layers. They have been charged with identifying customer insight driven sales opportunities, as well as bringing exciting new initiatives to our dining rooms to help accelerate traffic recovery. The other team is charged with simplifying operations so we can improve our guest experience. We will take unnecessary cost and complexity out of the business, which will free up labor to reinvestment of things that will help us win with the guests. The team is looking at all aspects of operations from focusing the menu to streamlining back of house prep to eliminating time consuming process that doesn't add value to our guest experience. We shared some of those early ideas with our operators at our Annual Chili’s General Manager Conference last week and I have to say the team is very excited to get after it. I have also asked our Chili's Executive team to refocus the portfolio of projects we are working on to prioritize the most important and stop the ones that won't have a meaningful impact on our core business. I'm very pleased with the progress we are making on the prioritization front. As for our longer term strategy, our biggest opportunity is also to focus on the court Chili's business. We must identify how our brand can uniquely add value for guests in a modern and relevant way, strengthen our positioning within casual dining, leverage technology to remove friction for guests and team members and continue to reduce unnecessary complexity, all of which should lead to a better guest experience, higher sales and stronger for all economics. I'm also very pleased to share that we brought on George Felix as our new Chili's Chief Marketing Officer. George is known for taking well-known brands and reminding customers what makes the brand special in a contemporary relevant way. He is currently working to define our Northstar positioning in the market, which will help us make strategic choices on marketing, as well as help guide us on where to focus operations and improve our guest experience. I'm excited that George is already making an impact with several of our sales driving and simplification initiatives. As for Maggiano's, it's on a good trajectory. The improvements we made to both off-premise business and removing costs from the middle of the P&L during COVID has allowed the brand to emerge much stronger. Maggiano's menu travels off-premise exceptionally well and now that dining rooms are coming back, we have lots of runway for growth. I couldn't be prouder of the work that Steve Provost and his team have led to get Maggiano's through the pandemic, which I would expect will continue to be a source of growth for our business. We find ourselves in interesting times with the inflationary environment, a dimmer economic outlook and a worry consumer. I'm confident that interventions we're putting in place today to simplify operations to win with the guests, to implement more strategic pricing, to launch sales driving initiatives and to take cost out of the business will help us fight through our near-term challenges. They will also build the momentum we need to put the business in a stronger position for longer term sustainable growth. Now I'll hand the call over to Joe to walk you through the numbers. Go ahead, Joe.
Joe Taylor: Hey, thank you, Kevin, and welcome to the quarterly earnings calls, and good morning, everyone. As detailed in this morning's press release, Brinker reported total revenues of $1.22 million for the fourth quarter of fiscal year '22. Consolidated comp sales for the quarter rose 3.1% as pricing and mix increases offset negative traffic. Fourth quarter adjusted EPS was reported at $1.15. Now let me unpack several of the pieces from the top line to the bottom line results. As a reminder, we had a 53rd week in the fourth quarter fiscal '21, which impacts the year-over-year comparison of revenues, margins and EPS for the recently completed quarter and fiscal year. Our restaurant comp sales are stated as 52 week comparisons. At the brand level, Chili's comp sales on a year-over-year basis were positive 0.3% lapping fourth quarter comp sales of 59.8% in the prior year. Looking at sales performance relative to the pre-COVID environment, fourth quarter average weekly sales of 59,500 were up 4.5% when compared to the fourth quarter of fiscal '19. Traffic was negative at Chili's for the quarter and decelerated throughout as some guests appear to react to the challenging inflationary environment particularly during the weeks of very elevated gas prices. We also experienced approximately a 1% negative sales impact to the quarter as some restaurants were not able to fully open dining rooms, particularly at peak times or had to throttle back online orders giving limited staff availability. I would note that Chili’s traffic trends since the end of the quarter saw sequential improvement into August, although they remain in the mid single-digit negative territory. We did see positive sales and traffic in Chili's dining rooms for the quarter as guests returned to more normal dining routines. At the same time, their off premise channels remained strong, constituting approximately 34% of sales during the quarter. Maggiano's continued a solid recovery posting positive restaurant comp sales of 30% for the quarter, driven by positive price, favorable mix and strong traffic from the return of their dining room guests. When compared to pre-COVID fourth quarter of fiscal '19, average weekly sales increased 7.3%. Importantly, the post-COVID level of the off -- of the brands off premise business remains intact at above 20% of sales, providing a meaningful avenue to improve guest frequency as the brand moves forward. Brinker’s franchise and other revenue increased year-over-year, due to incremental gift card breakage and increased banquet revenue related to Maggiano's. Moving further down the P&L, our fourth quarter restaurant operating margin was 10.3%, down from prior year due to the magnitude of inflation we experienced throughout the major categories of restaurant margin. Restaurant margin was also negatively impact by approximately 80 basis points from lapping the 53rd week of the prior year. Food and beverage costs as a percent of company sales were unfavorable 310 basis points, compared to prior year. As you might expect, this was driven by higher commodity costs with inflation hitting close to 15% for the quarter, a high for the fiscal year. Every major commodity category was negatively impacted with poultry being our largest year-over-year increase. Chicken mix is high across our menus with approximately 52% of our overall protein mix exposed to the high cost dynamics of the poultry market. Fortunately, we're now starting to see steady cost reductions for chicken working their way into our supply chain, a trend that has the potential to create favorable cost comparisons as we move further into the fiscal year. Labor for the quarter was unfavorable 70 basis points, primarily driven by wage rate increases in the 6% to 7% range, additional hours utilized in the restaurants as we incrementally staffed our dining rooms and continued elevated levels of training expense for new team members as a result of higher turnover rates than we traditionally experienced. Restaurant expense was unfavorable 280 basis points as higher energy prices inflated our utility expense and we experienced higher rent and increased repair and maintenance costs. We also lapped a one-time advertising related credit of approximately $6 million taken in the fourth quarter of the prior fiscal year. Operating cash flow for the fourth quarter and fiscal year remained strong with $41 million and $252 million recorded for those time frames respectively. Adjusted EBITDA for the quarter totaled $100 million bringing the fiscal year adjusted EBITDA to $355 million. Now turning to our outlook for fiscal year ‘23. This morning's press release included several target ranges for our current fiscal year. Our cautious view of economic conditions, particularly for our value-oriented guests, reflects negative traffic expectations in the low single-digits for Chili's. We believe the significant headwinds from commodity inflation will lessen as we move through the year, a trend that could continue for a period beyond the current fiscal year. Our year-over-year increase in food and beverage costs are forecasted to be at their highest point almost 400 basis points in the current first quarter before narrowing mid-year and turning favorable year-over-year by fourth quarter. For the year, food and beverage costs are expected to be up in the neighborhood of 100 basis points. For the full-year, we have the following expectations: Revenues in the $3.9 billion to $4 billion range; CapEx in the $155 million to $165 million range; weighted average shares in the $44 million to $45 million range; and annual adjusted EPS in the range of $2.45 to $2.85 for the fiscal year ‘23. As it relates to pricing, we are planning near-term pricing actions at both brands. Chili’s is expected to exit the first quarter at close to 8% price, a level the brand will maintain throughout the fiscal year. Maggiano's will exit the first quarter in the mid-5% range and is anticipated to average closer to 7% for the year. Regarding restaurant development, the schedule for our current fiscal year has slowed somewhat as several anticipating openings have pushed into fiscal 2024. We now anticipate opening 19 new locations during the fiscal ’23 year. Let me provide some insights on quarter one. Our current first quarter is likely to be the low point of our operating results for the fiscal year as we work through the cresting of inflationary pressures for our brands. With that in mind, let me provide some specific insights for the quarter that also help define the expected meaningful positive progression of operating performance as we move into and through the remaining quarters of the year. As is typical, we expect the first quarter to be our lowest revenue quarter generating between $920 million and $930 million of company sales for the period. The year-over-year impact of inflationary increases for the first quarter will increase costs in all the major categories of restaurant margin. Food and beverage expenses alone are expected to be up more than $50 million for the quarter, when combined with the lower revenue of this quarter, we expect restaurant operating margin to be between 4.5% and 5.5% for the first quarter. This restaurant margin will result in an overall operating loss for the quarter with a negative operating margin expected in the mid-3% range and first quarter adjusted EPS estimated in a range of negative $0.70 to negative $0.60. While we anticipate a disappointing start to the fiscal year, we maintain clear line of sight to meaningfully improved operating performance throughout the year as incremental pricing, lower food and beverage costs and sales driving initiatives all kick in during subsequent quarters. On behalf of the Brinker leadership team, we're pleased to have Kevin on board. He has quickly focused the team on simplifying operations, improving four-wall economics and driving growth in the core business. I'm confident this will not only move us through the current more difficult operating environment in better form, but will provide the foundation for sustainable long-term growth and better profitability for Brinker and its brands. And with my comments now complete, let us turn it back over to Paul to moderate your questions.
Operator: Thank you. Ladies and gentlemen, the floor is now open for question. [Operator Instructions] And the first question is coming from David Palmer from Evercore ISI. David, your line is live.
David Palmer: Thanks. Good morning. Just a question on strategy. Kevin, you talked about some opportunities to improve the economics of the four-walls with perhaps pricing being a part of that. But I’m wondering more about the investment areas that you see as an opportunity? Is that labor? Is that marketing? How are you thinking about ways that you can improve that guest experience that you were talking about and drive sales in your highest margin business? Thanks.
Kevin Hochman: Yes. Thanks for the question, David. So we're thinking about in two ways. One is there's some short-term interventions that we have to make that we just can't -- we cannot wait to make those interventions based on where the business environment is now. And so what I've had the team working on is the short-term wins and then I’ll talk in a second about what we're doing from a longer term basis. So I've charged a team with how do we improve restaurant margins quickly. And obviously the number one thing is to grow comp store sales, so we've got a growth team that we spun up that is looking at what are different areas that we can quickly grow the business and, kind of, mute some of the headwinds of traffic that we've seen. Obviously, strategic pricing, which we talk about in our prepared comments, there is a significant reduction in discounting that we're working on. That's in a couple of areas. One is we give away a lot of free food in our My Chili's rewards. There's probably a better way to do that and still maintain the traffic that, that drives without constantly giving away free food every week, as well as redoing some of the value sections of our menu so that we don't have so much of our menu mix on deal, but still have very attractive exciting offers on home meals for that guest that's cash strapped that otherwise couldn't enjoy casual dining. And then we're also working on some cost reductions that will also help with also labor with simplification in the restaurant. So specifically that's eliminating low mixing or redundant menu items, eliminating redundant pantry SKUs that are in the back of the restaurants, removing unneeded dishware, which will help with both labor, as well as some cost of smallwares, eliminating unneeded process that happened that don't really help the guests, but end up being literally years of labor hours annually that we're spending money on and then reducing administrative work in the back of the restaurants that's not helping the guest. We also are working on some new item innovation to drive traffic, which I'm excited that you'll see in the next couple of weeks start to roll out, which will also help drive some traffic in our bar. And then the last thing that we're doing is updating our strategic loyalty program to drive more traffic with reducing some of those discounts I was telling you. That's kind of the short-term interventions that we're making. I'm meeting with my leadership team off-site in the next couple of weeks that we're going to talk about. What are the big things that we need to do over the next few years to unleash both restaurant margins and accelerated growth for our business. And I think those are the big discussions on labor and equipment and all the things that we need to make long-term improvements in the guest experience and I hope when we're ready to surface with those interventions are that we'll be able to share them with all of you.
David Palmer: Thanks. I'll pass it on.
Operator: Thank you. And the next question is coming from Nicole Miller from Piper Sandler. Nicole, your line is live.
Nicole Miller: Thank you. So much. One for you, Joe, first and then I have one for you Kevin as well if I can sneak it in. But Joe, you said something about dining rooms 34%. Can you just -- can you walk us through please in the fourth quarter or even for the year frankly doesn't matter the construct of the revenues for the dining room off premise? And I guess kind of the -- everything else bucket, but it would be nice to get it, it's just swings?
Joe Taylor: Yes. Nicole, I think the comments you're referring to is 34% in the fourth quarter of Chili’s sales mix was off premise, which is relatively [Multiple Speakers]
Nicole Miller: That was off prem, okay.
Joe Taylor: [Multiple Speakers] that was off prem. We did see slight traffic improvement and positive comp in the dining rooms for the quarter, you’re starting to see I think a little bit more of a normalization of that dine in experience. So the relative mix dine into to off premise has remained relatively consistent in that kind of two-thirds, one-third mixing area over the course of the year.
Nicole Miller: Perfect. Just want to match that up with what margins might be in those channels? And then Kevin, can you talk about the customer base you have today. And as you think through the strategy options and totally understand you're thinking through them? Is it changing that mix? Is it changing the frequency? Both, like how are you thinking about that?
Kevin Hochman: Well, we have to start with just who our customer base is today and it's pretty broadly spread out. So it's not like we're overrepresented with low income guest or high income guest, it's pretty much representative of the casual dining population. And so we have to play a barbell on this, right? Number one, we have to make sure that, that low income guest that is extremely cash strapped. How do we make sure that we have offerings on the everyday menu that they know they can get an affordable meal at Chili's and be excited about that and continue to come in. On the flip side, we've got to mitigate how much trade down that we get from our guests that can afford more, as well as start to innovate so that we can drive both check and traffic with that guests. So we think there are a lot of opportunities both in terms of food innovation, as well as in drink innovation to drive a higher check -- guest check, as well as drive more traffic with those guests.
Nicole Miller: Thank you.
Operator: The next question is coming from Chris O'Cull from Stifel. Chris, your line is live.
Chris O'Cull: Thank you. Good morning, guys. I had a question for Joe and Kevin. First, Kevin, I'm interested in hearing your assessment of the virtual brands and maybe how important you believe those brands will be to the company's future growth?
Kevin Hochman: Yes. So let me just start with virtual brands will continue to play a meaningful role in our business, I mean, they're currently about 6% of mix. So they're a part of our business now. That said, we do need to rightsize the time and attention and investment for our sales layer that's 6% of the business. So specifically, we have to make sure that we're rightsizing the amount of incremental pantry skew, ingredients that we need to service these brands. For example, on the Maggiano's virtual brand, it's currently 26 unique SKUs to service about 2% of the business, that is just too much, right? So we've got to make sure that we cut that number probably about more than half. We think we're going to retain most of the sales mix on that business, but make it a whole lot easier for our team members to run that part of the business, as well as mitigate a lot of the food waste that shows up in cost in our business. The opportunity on It's Just Wings is -- it's a lot less in terms of simplification, because it was designed I think exceptionally well to marry within our kitchen. There's really two things we're working on in that brand. One is we have a smoked wing on that lineup that is extremely low mixing. It provides a lot of food waste, we think that most of that volume will migrate back in the It's Just Wings, so we think that we can improve the P&L on It's Just Wings by eliminating that item. The other thing that we're working on and It's Just Wings is because a lot of those orders come in a very tight window and typically during that kind of busy dinner service, we get kind of stopped up sometimes on zone one, which is our fry zone. And so we've got to make sure that we figure out ways to build capacity in that area, because I think both It's Just Wings, as well as in the Chili's business that zone one will be a source of growth going forward. So we're working very closely with our operations team and understanding how we can free up some capacity in zone one. The other things that we're doing to grow the business, we're going to take pricing on virtual brands as the vast majority of business goes out to delivery customers, who are much more focused on convenience and are willing to pay for that convenience. I know that from my pizza days, and then we are going to be taking some of the virtual brand investment and putting it back on core Chili's. If you just look at the numbers, even in just off premise, core Chili's does roughly five times to six times the business than our virtual brands. And so we think there's also opportunity not just in the virtual brands, but growing off premise on the core Chili's business. We also have some growth ideas for virtual brands, so one of the big ideas that I'm really bullish about that we're going to be rolling out next week is taking all of the It's Just Wings wing flavors and curly fries and putting them on core Chili's. And if you think about that core Chili's does about 24 times of sales of It's Just Wings, so why not take these amazing flavors and these amazing curly fries? Put them into the Chili's business as a premium at the bar. We are very bullish on what that could mean for the business. And likewise, we have an amazing, we call it, chicken crisper, it's a chicken tender. Why not take that product on Chili's, put it into It's Just Wings to create a meaningful business in that business. Chicken tenders in the chicken segment is a lot bigger than chicken wings. So we think we'll probably never sell more chicken tenders and chicken wings on It's Just Wings, but we think it could be a meaningful source of growth without any new incremental SKUs or incremental training or incremental process for the back of the house. So we're very bullish on being able to leverage some of the great items on It’s Just Wings on core Chili's, as well as doing it vice versa to grow both businesses.
Chris O'Cull: That's helpful. Thank you. Just had another quick one for you, Joe. It looks like the company expects earnings to increase about 18%, 19% for the last three quarters of the year assuming the midpoint of your guidance for the first quarter and the full-year? Is that about right? And are there any unique things that's going to drive that growth?
Joe Taylor: Yes, definitely is a forecast that obviously it starts off in a negative position and ramps up quickly as we move to the last three quarters. A number of things, and obviously, the pricing initiatives we've talked about the elimination of discounting has an incremental impact as we moved through the fiscal year. The commodity -- the inflation cycle in total, but specifically the commodity cycle. We see materially improving as we get through the year and actually turn to a year-over-year favorable dynamic as we move into that fourth quarter. So yes, that hockey stick is in place and we have a pretty good line of sight to it too. And I think you're kind of hitting the dynamics based on the points of the guidance that you're referencing, so yes.
Chris O'Cull: Great. Thanks guys.
Operator: Thank you. And the next question is coming from Jeffrey Bernstein from Barclays. Jeffrey, your line is live.
Jeffrey Bernstein: Great. Thank you very much. Two questions, first Kevin, excited to obviously have someone from the industry leading the team. I'm just wondering if you can maybe talk about the differences you see between running a QSR versus a casual brand and seemingly franchise system, this is primarily company operated systems. If you could talk about maybe the lateral implications or the potential synergies that you see maybe what your greatest strengths are as you make that transition from one side of the business to the other?
Kevin Hochman: Well, you know, it's a great question, you know, I'd start with some of the real positives that I see. The fact that we own most of our own -- of our restaurants has allowed us to move a whole lot faster I think than we would be able to do in our franchise system. And we need to make some quick interventions. And so the teams have really responded well and it's allowed us to move very fast. I think as we get further down the road in terms of the technology improvements, one of the things that I'm talking about with our leadership team is what can we use technology to do to make it both a better experience for the guests, as well as take some of the workout of the team members hands and in a world where we own most of our own restaurants that gets a whole lot easier to test and rollout a whole lot faster and so technology, as you know, and everybody that covers the industry is where everything is going, right. So I think that's going to be huge advantages for us. I think there are some things I can bring from kind of my QSR days that I think can help the business. I think more strategic pricing, I think QSR does an exceptional job of understanding how do we make sure that the great values that we offer advertise and drive traffic. And so we need to make sure that we have industry leading value with our 3 for Me program that starts at $10.99 and yet in my experience, because we haven't spent a whole lot of dollars on it, a lot of customers don't know about it, right? So one of the lessons in QSR is if you're going to have a great value, you're going to make sure that you talk about it and quite frankly been a little bit invisible in our business in the last few years and we need to get back on air once we're ready to do that. So that's one example. Another thing I think that we can bring is how do we manage the merchandising of value and the merchandising of items at the restaurant level to make sure that we're driving as much check and trade up as we can, as well as minimizing trade down. I think these are very obvious opportunities that I've seen early on and that we're working on. And I think you're going to see improvements in our restaurant margins, because of some of those learnings I'm bringing from QSR.
Jeffrey Bernstein: Understood. And the follow-up, just because of the fact that you've come from a portfolio of brands, I was wondering whether you could have some thoughts on how you see Brinker best positioned, when you look back a decade or so and then Brinker had eight or nine brands, now running two along with a couple of virtual brands. I was just wondering how you think about a portfolio versus single brand approach whether you have any views on that as you look forward?
Kevin Hochman: Yes. I don't have a perspective on that now. I know that's probably not the answer that you want to hear. I'm really focused on improving the four-wall economics both Chili's and Maggiano's and that's really what I've kept the team focused on right now. Obviously, if we can do that successfully, that opens up a whole lot more opportunities in the future for whatever we want to do in terms of a long-term strategy, but it starts with making sure that we have very strong restaurant margins and four-wall economics, because we own all these Chili's and Maggiano's and that's what I'm committed to doing with the team.
Jeffrey Bernstein: Understood. Thank you. Best of luck.
Operator: Thank you. And the next question is coming from Andrew Strelzik from BMO. Andrew, your line is live.
Andrew Strelzik: Hey, good morning. Thanks for taking the question. I just had two for me one -- first is a follow-up. Do you have a sense based on obviously the cost environment, pricing that you're talking about, some channel shifts that have occurred over the last couple of years? Do you have a sense for what restaurant margin in this business should be able to achieve, kind of, as you or a goal, maybe in mind as you kind of work towards implementing the strategies that you've talked about? And then my other question is just on capital allocation priorities, obviously no buyback in the guidance, which is not unusual. Lower CapEx, it sounds like some delays on the unit growth. I'm just curious, should we expect any changes there, kind of, over time and does accelerating unit growth, which I know has been in the plan. Does that make sense now? Thanks.
Kevin Hochman: Yes. So let me take the restaurant margin question and then I'll kick it over to Joe on the new build question. So we're kind of in the low double-digits right now, I think, between 10% and 11% restaurant margins. We think that we can probably get to the mid-teens, now I don't have a specific timetable exactly on when. So, but when we look at I think we can get a couple of points when we think about strategic pricing and reducing discounting. And then we think about operational improvements and leverage if we can get the business growing. I think mid-teens is achievable and that's where I'm going to have the team focused on. I think if we can get to those numbers, certainly it's going to unlock a lot of value for our business and that's what I have the team laser focused on.
Joe Taylor: And I think that goes right into the capital allocation nicely, because obviously that will feed future capital allocation discussions as we go. Andrew, you're right this year capital allocation is pretty straightforward, we're focused on the CapEx dynamics, that $155 million to $165 million, which is the same buckets we've typically seen in there from development to reimaged. Obviously, a big chunk of that is return maintenance expenses within the current fleet in IT. So it's a fairly straightforward and typical construct on the CapEx side equation. The new build construction has slowed somewhat, the market's are little bit longer date and time lines on some of the construction, you have seen some increased costs, which has caused us to pull back in different places to make sure that we are -- if we are constructing, we're constructing within a dynamic that we think we can get a good return. We've been pleased with the restaurant development we've done in the last couple of years and the operational performance of that cohort. So yes, I'm comfortable as we kind of move forward continuing the restaurant development. We think it is a great opportunity to provide some incremental growth into the equation as we go forward. Obviously improving the four-wall economics is one of the best things we can do to continue to bolster the performance return of not only the existing fleet, but these new builds as we move them forward. So we'll continue a new piece of the equation. Other pieces of capital allocation down the road. Obviously, we'll look at those opportunities based on the performance of the overall company and the cash flow generation. So that's kind of where the near-term is with the opportunity down the road.
Andrew Strelzik: Great. Thank you very much.
Operator: Thank you. And the next question is coming from Brian Mullan from Deutsche Bank. Brian, your line is live.
Brian Mullan: Hey, thank you. Just a little bit of a follow-up on development. The 19 that you are going to open this year, are these still ones that are simply under some form of construction now? And then you're pausing a bit for the rest of the time, while the operations get tightened up? Or is that not the case just a little clarity there? And then Kevin, it would be great to hear your longer term thoughts on Chili’s development opportunity. How you think about over the long-term? And do you need to see those mid-teens restaurant level margins restored before you'd really want to lean in there aggressively? Just any thoughts on how you're thinking about it?
Joe Taylor: Brian, yes, I think it's not a bad way to think about it. It's not universal. It's to where we've gone from the higher 20s that we talked about down to 19. But we have pushed back -- some of it pushed back just on the timelines that it's taking to develop and open a new restaurant, but we've also pushed back starting times for development and things of that nature. All those 19 are in the process, so you're talking about committed leases and in most cases some level of construction starting with that. So it's most of those openings will take place in the first half of the fiscal year couple as you kind of move into the early part of the second half. And we'll continue to then develop what that pipeline looks as we move more into F ‘24 timeframe and we could communicate that as we kind of go through the rest of this fiscal year.
Kevin Hochman: Yes. And to answer your question, how I think about development. I think it's kind of two-fold: one is as we complete our Northstar work about where is Chili’s positioning in the marketplace? I think that will help us think about what does the next gen Chili’s look like. So obviously it’s maybe it's not as big a dining room space and it's optimized for off premise. We certainly can optimize the kitchen, if we understand the Northstar better that will create obviously lower build costs. And then if -- concurrently, if we can improve restaurant margins, that will obviously accelerate paybacks, right? So in order to answer your specific question of like, are we waiting to get to mid double-digit margins to start accelerating builds again? It's hard answer that question until we get into the details of how much cost can we take out of the building based on next gen Chili’s, as well as how fast we're accelerating margin improvement. But I do think the faster that we can get to better margins, the faster we can return to building again.
Brian Mullan: Thank you.
Operator: Thank you. The next question is coming from John Glass from Morgan Stanley. John, your line is live.
John Glass: Thanks. Good morning. Congratulations, Kevin. Great to hear your voice. First, Kevin, I just want to maybe sort of put together the pieces as you drive or endeavor to restore traffic. You're talking about strategic pricing. You're talking about reducing amount of discounting. Those generally don't coincide with better traffic. Was it your analysis the discounting of the promotions on My Chili's awards just did not drive traffic, so we're moving them -- is not an impediment to restoring traffic? How do you make that decision? And why do you think there is a risk to further degradation in traffic if you remove some of those promotions?
Kevin Hochman: Yes. Well, as you know, John, there's lots of different ways to drive traffic, right? And one of the things I think we need to evolve over time is driving the right traffic that is sustainable growth versus traffic for traffic sake. So let me give you a couple of thoughts of how I'm thinking about driving traffic, which I think is kind of at the part of your question. We have seen that the low income customer start to visit less often, which is why we've seen those traffic trends turn negative. We are implementing several initiatives to call back as much of that traffic back. So the first thing is on that low income customer that I think you're kind of referring to when you're talking about the ability for those discounts to drive traffic. And we simply need to do a better job of talking about the unbeatable value that we have on our 3 for Me menu. And so specifically, you can get chips and salsa, a burger, a fries, a limited soft drink refills and it's just $10.99 and we have a few other entrees that’s start at that price point too. And I would tell you we had a -- it was like a famous broadcaster Jeff Lewis on his radio show, we didn't pay for this, hw just kind of went to a Chili's and Encino and just raved about how much food he got from -- at an $11 price point from Chili's. And there's two observations from that broadcast. And then he talked about it for next couple of days and brought another celebrity in with them. The first one is we have an unbeatable value at a time that customers needed the most. And that was clear of just hearing him rave about the amount of value that he got from that 3 for Me deal. But the second thing that tells me is we have to do a much better job of talking about it. So our guests are aware of that value, right? So we have a great value in the restaurant today. We don't plan on getting rid of it anytime soon. And so what are the things that we can do with our limited marketing dollars to make sure that we're driving awareness of that. Right now, we’re spending our limited marketing dollars, primarily either on talking about free things that are available with the My Chili's Rewards or focused on digital off-premise in the virtual brand. So I think there's opportunity right there. The second thing that we're doing is we're launching, we're calling the Raise The Bar initiative to reignite traffic at the bar, which we think will spill over into the dining room too. So the Raise The Bar initiative includes a completely new drink lineup, a new bar food lineup, happy hour that's available every day and the launch of NFL Sunday ticket into our restaurants, which will drive traffic via sports viewership. Beyond NFL Sunday ticket, we're looking at things that we can use outside of football season to help driving traffic. Obviously, those are more full revenue guests that we can get in to enjoy food and drink. And then we're going to reboot the My Chili's Rewards program, we probably will still give some things away, but it will be focused more on compressing the time between visits for our loyal guests and we think we can make that loyalty program more traffic driving, but less costly with a better strategy and execution based on key customer insights. So I do is think that My Chili’s Rewards will still play a big role in driving traffic, but I think there's probably a better way that we can utilize it going forward.
John Glass: That's super helpful. Thank you. And Joe or Kevin, the most recent trends you called out in the traffic declines, how much of that is the industry in other words, you've talked about your share gains in the past. Is this idiosyncratic or more severe at Chili's than the industry? Or what you experiencing your view as just the industry slowdown in general?
Joe Taylor: I think the bulk of it is similar to what you've seen in the industry and heard other folks talk about when you look at the fourth quarter for instance you saw that traffic deceleration with June being the worst traffic positioning for the quarter, which again coincided with a lot of the very excessive inflationary factors like $5 average gas prices, things of that nature. I will say that we have not performed as well relative to the industry as I'd like to see us do. So I think there's work for us to do in our house too that is beyond the macro environment. And that's when we focus on retaining team members, that's a big piece of the equation. We need to bring turnover down to make sure we can get dining rooms fully open, particularly on peak times and on the weekends that we will not have throttling of the off-premise online ordering system, so that, you know, which is really their dining room, so we don't want to constrain that piece of the equation too. So simplification is geared at helping to move the needle in that space, but we're very focused on the retention side to try and get back into that better than industry positioning on traffic. So some work to do there, but I think most of it was similar trends to what you saw from the industry side of the equation.
John Glass: Thank you.
Operator: Thank you. The next question is coming from John Ivankoe from JPMorgan. John, your line is live.
John Ivankoe: Yes. Hi, thank you. I was listening to the call, talking about things like changes in loyalty, reduction of discounting pricing, all seem to be very data driven decision. So I guess the question is, did that data exist before, but whether it was feel or experiences different decisions were made in the past? Do you have new data that's suggesting that some of these changes, I guess, can be made in a positive manner? Or is this still kind of a feel and experiencing type of decision where we're making maybe some of these decisions without necessarily to support of data today? And I have a follow-up.
Kevin Hochman: Well, to answer your question, a lot of to support it with data and/or testing some of it is moving faster than I think we would normally do just given the circumstances. And then some of it is just based on my experience with pricing and discounts on two other brands that I kind of led. We're in a similar place of having a huge percentage of their mix on discount. So in our example on Chili's, 37% of our checks are moving with some type of discount and that's just simply too high for our brand and we just need to figure out ways to get that lower. So it's not a question of like if we should do it, it's how we should do it. And we're probably moving a little faster than we normally would, but we're going to course correct some of the things that we think we go too hard on. But we do think that there -- we do have some pricing power in different areas in the business between being a little bit slower than the industry last year on taking everyday pricing, making sure that we have really sharp pricing for that guest that's cash trapped that's available in the restaurant every day, which we're going to maintain and then the reduction of discounts over time that we think will help us earn better pricing on the business. So to answer your question, it's a combination of both and -- but the most important thing is that over time, we get to a more sustainable business with better four-wall economics and better restaurant margins.
John Ivankoe: That's very helpful. Thank you. And secondly, The KFC brand in the U.S. really became a much stronger brand after it actually significantly shrunk its footprint in the U.S. really decided where it wanted to be with what type of customer where they felt that the operations could be solid. Are there other opportunities specifically to Chili's for you to really rethink the portfolio and maybe kind of get better and stronger by being at least in the short-term smaller? How do you kind of see, I mean, if there's a way to compare and contrast the turnover opportunity at Chili's relative to what was successfully achieved at KFC in the U.S. if that's appropriate?
Joe Taylor: Hey John, I think we're always going to be taking a hard look at the performance dynamics of the fleet. And frankly, may take even harder look at that spectrum of restaurants that you're always going to have some that are at the lower end of the spectrum, you might -- could we be a touch more aggressive on closing and relocating? I think as we kind of go forward, possibly. It's something we'll look a little deeper at and maybe not carry as many along. I think we've talked in path about our ability to carry restaurants again since we own all of our restaurants and we can kind of bring the fleet along in mass, we probably don't have to be bringing some of that level along as we have in the past. I don't see that as a radical change, though. I don't want to take you down a path that there's going to be a significant initiative anytime in the near-term on meaningful closures. But we won't be afraid to close a restaurant or not renew a lease in a lot of cases as some of these get to expiry if we don't see a ability to improve the operation and performance individual restaurants. So maybe a tick more than you've seen in the past, but nothing planned dramatically in the near-term.
John Ivankoe: Thank you.
Operator: Thank you. And the next question is coming from Jared Garber from Goldman Sachs. Jared, your line is live.
Jared Garber: Great. Thank you for the question. Over the last maybe a year or so we've heard a lot about technology initiatives in the restaurant to help some operations. And I think Kevin you talked a lot about up simplification initiatives moving forward. So I just wanted to get a sense of maybe what some of the initiatives that were in place in terms of AI and robotics that were being tested and some other initiatives in the back of house and front of house and how you think about those things going forward?
Kevin Hochman: Yes. So we have a lot of opportunity in technology. One of the things that the leadership team did when I first got here was we literally laid out all of the projects that we were working on, kind, of a two by two, one was it’s ability to impact sales and profits in the next few years. And then the other access is like the probability of success last summit investment in time we need to put into this. And we made some strategic decisions to accelerate some projects and to stop other projects. So the robotics project I think you're probably referring to, we're going to -- we're pausing right now, but we are going to try to accelerate what we call Kitchen of The Future 3, which is equipment that will make it a lot easier, faster and more consistent and dramatically reduce cook times on majority of the items on our menu. We believe that getting speed of service up through that equipment will lead to turning tables faster and higher sales. So we are aggressively looking at technology as a way to improve restaurant margins and productivity. There are a couple other areas that we are looking -- that we'll be talking about in terms of our long-term strategy. There's clearly opportunity to remove friction for both our team members and guests with these -- with better use of technology. For team members, there's clear opportunity in our heart of house or our back of house with our kitchen display systems, improving the order flow in the to-go area, which is now 35% of our business. There's also several tests that we think that guests might want to do for themselves with the right technology if we can deploy it properly in the restaurants like seating, ordering and payment. This would make it easier for the guests and reduce how much time our team members have to do those tasks for our guests today. And then we also have -- we think a pretty big opportunity in our mobile site interface. The vast majority of our off premise guests are using that mobile site to order and we think we can make that easier and faster to help build stickier online customers. So the directly answer to your question is we're going to stop some of those projects that we just didn't have a line of sight to a return on the business, but we're going to double down and accelerate the ones that we think will have a more meaningful impact on restaurant margins and a quicker impact on our business.
Jared Garber: Thanks. That's really helpful color. And then, Joe, if I could just follow-up on a question around pricing. I think you said the expectation is to run about 8% price for the full-year at Chili's. So does that suggest that you'll be taking incremental pricing increases throughout the year to maintain that 8% level, because presumably you'll have some price actions from 2022 -- fiscal year ‘22, rolling off at various points around the year? So just wanted to make sure I understood that, that commentary properly?
Joe Taylor: Yes, you're understanding it correctly, we'll take a series of different price increases, not necessarily just menu price increases, obviously, looking at a lot of different dynamics, if where you can take actionable price you'll probably actually see on a quarterly sequencing, Chili's tick up a little bit above that average level as you, kind of, move through the middle of the fiscal year. And then depending on any incremental decisions we may make down the road, we've left ourselves the optionality on how we think about price in the second half of the fiscal year, you would then gravitate back into that kind of 8% range. So that's kind of the flow of pricing for them.
Jared Garber: Okay great. Thanks so much.
Operator: Thank you. And the next question is coming from Dennis Geiger from UBS. Dennis, your line is live.
Dennis Geiger: Great. Thank you. Just first wanted to ask another on the pricing levels and really anything that you've seen with expect to pushback or resistance from the customer to-date? Kevin I know you spoke to having pricing power and pricing below peers in past years. Just curious what you've seen most recently from a feedback standpoint from customers?
Kevin Hochman: Well, we continue to see mix be fine. So we haven't seen really any trade down. What we have seen is the traffic with that low income guest tail off a bit. And so one of the things that we need to do is the superior -- we have two really superior values in our restaurants today. We have a $9 lunch combo, which if you look at the fast food index of combos, it's beneath the head so and that's casual dining, right? And then we have our Three for Me program, which is essentially an appetizer, an entree and unlimited drinks, starting at $10.99. These are both unbeatable values in the market. And so we have to do a better job of taking the limited marketing dollars that we have and making sure that we're shouting those things for the guests so that the low income guests that literally wouldn't be able to choose casual dining unless they have those price points available to them are aware of them, right? So that's why we're pivoting some of the dollars that we're spending on comps for My Chili's Rewards and trying to figure out how do we reinvest that back into advertising the everyday value that we have today that we think is unbeatable in the market. The other things that we're doing in terms of pricing when we think about like reducing the number of items that are offered on that Three for Me menu to just make sure we have a couple of things that are really good for that guest, but not discount large swaps of the menu. We think that will have a positive impact on pricing, reducing the number of free offers, which we talked about on My Chili’s rewards. And then the other thing I don't think we've talked about is just accelerating pricing and recovering the cost of delivering our food both on Maggiano's, Chili's and the Virtual Brands. Historically, we just haven't recovered all those costs and we know that guest is very priced inelastic and is really value and convenience over menu price. So it may not be in the context of like how you think about pricing power, but there clearly is opportunity and upside on being -- pushing a little harder on those things in a smart way while protecting those opening price points for that guests that just desperately need that price point.
Dennis Geiger: Very helpful. And then just one more if I could. Just on the food and beverage inflation side of things are the expectations there. What are the biggest drivers maybe for the fiscal 1Q target as far as poultry how much of a pressure is that based on the latest contract? And maybe just kind of what you're seeing for the full-year? How contracted you are for the full fiscal ‘23, Joe, if you could kind of speak to that a little bit? Thank you.
Mika Ware: Hi, Dennis. It's Mika. So actually, poultry and oils are probably the two biggest drivers of our Q1 inflation. And for the first quarter, we are actually -- we're probably 99% contracted. We're more contracted as well into the second quarter open in the back half of the year where we do think the markets are going to come down, but that's where we stand today.
Dennis Geiger: Very helpful. Thanks, Mika.
Mika Ware: Thanks, Dennis.
Operator: Thank you. And the next question is coming from Chris Carril from RBC Capital Markets. Chris, your line is live.
Chris Carril: Thanks. Good morning and thanks for the question here. So can you talk about the staffing environment today, maybe focusing on turnover relative to pre-COVID levels? Joe, I think you had alluded to elevated turnover in the 4Q versus historical levels. And then I guess the high level how are you thinking about balancing all the strategic initiatives that you're anticipating with what you're seeing in staffing today?
Joe Taylor: Let me jump in on the first part and then Kevin, if you want to jump in on the back half of where we can see that heading. Yes, we're running within the hourly population, we're running much higher turnover rates than we did pre-COVID. Retention is the area that we're really focusing on there. We're not having a difficulty from a hiring standpoint, the number of people staffed in the restaurants is fairly similar to pre-COVID, but it's the turnover rate that is generating higher than normal training expenses, utilization of over time and some of those dynamics to keep that overall labor cost more elevated than we'd like to be. So we're really focusing a lot of attention on how to approve the retention rates. And then that starts with making sure we have the right dynamics of hiring practices in place, the right training programs, our initiative around virtual training and onboarding. I think it's going to be effective as we just start to deploy that into the restaurants. But that is clearly a hyper focus for how we improve the labor situation. We need to bring those levels, particularly for the hourly GM turnover is very stable where it needs to be improvements in the overall manager and then a lot of attention on the hourly side of the equation.
Kevin Hochman: Yes. And I think this is going to be a work in progress. We do continue to have higher level of turnover versus pre-pandemic at the team member restaurant level that Joe referred to. During my listening to in restaurants, what I've learned is we don't have a problem in attracting enough folks to work in our restaurants. We have a challenge in retaining them and in talking with the operators, what I heard is it's more difficult to work in the Chili's and it's not as fun to work in the Chili's than it was pre-pandemic. I think we're competitive on in terms of wage rates, it's more about the actual work. And so there's two big things that we're working on. One is the simplification initiative where we've got this team of senior executives working on things that are going to make it easier to work in the Chili's and then we're also having spinning up some ideas on how to make it fun again to work into Chili's. So the simplification one is kind of more obvious and near in. There's just a lot of task that we do in the back of the restaurant that don't necessarily help the guest experience and can be frustrating for team members. So I'll give you one example, give an idea of the stuff we're working on. So we have this thing called portioning that we do for a lot of our proteins, which is before service will literally like count the number of shrimper or measure the amount of brisket and we'll put that into a plastic bag and then we'll stage that in a cooling area. And in my restaurant tours, I saw pretty much every morning I have just saw people just counting shrimp or measuring brisket and just to give you a sense of like how much time that could be and how much money that could be for our business, just one hour of prep per day per restaurant is roughly 46 years of labor that we're paying for annually when you add that all up, right? And when the team member said, well, I don't know why we count shrimp, counting shrimp, I put them in a bag. I said, well, how would you do it? They said when the customer orders a shrimp dish, I would count a shrimp and not do it before service, right? And that seems pretty logical and something that we could immediately do. And probably there was a time that when we put that in that proteins we were really worried about the waste on them and labor rates weren't where they were. And so it might have been good decisions when we made those decisions 15 years ago. But today, in a world where wage rates are where they are and turnover rates are where they are and that's not the most fun task to do like why don't we get rid of that and say millions of dollars in terms of labor that can either be redeployed back into the restaurant or potentially to the bottom line if we can change the amount of hours that we deployed to the business. So that -- so many examples in our business that we can remove some of the cost and complexity out of our business, but don't really meaningfully impact the guest experience. And then from a fund standpoint, there are plenty of ideas that we've heard from the restaurant teams that we think actually could not just make the business more fun to work in, but actually drive some traffic. So one of the things that we're bringing back that we had pre-pandemic that I heard from the restaurant teams that we announced at our conference last week is give back night. So it's literally any of your guests in your local Chili’s can ask for -- to use the restaurant for a night and they will attract the guests and 10% of the proceeds that might go to that guest non-profit charity and they will do the recruiting to bring guests into the restaurant, because it's for a cause that they all care about. Obviously, the team members love it, because it's something they can give back to their communities. It's a form of driving traffic and it's a whole lot of fun for everybody. So there are so many different ideas that we can do both to simplify the restaurant and make it fun to work into Chili's again. And I think we do those things, I think you'll see those turnover rates for our team and start to go down.
Mika Ware: All right. Thank you, Kevin.
Chris Carril: Thanks, Kevin.
Mika Ware: All right. Thank you, Kevin and thank you, Joe. And thank you everyone for joining us on the call today. That concludes our call and we look forward to updating you on our first quarter results in November. Everyone have a wonderful day.
Kevin Hochman: Thank you, everybody.
Mika Ware: Bye-bye.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. You may disconnect your at this time and have a wonderful day. Thank you for your participation.